Operator: Welcome to the Cumulus Media Quarterly Earnings Conference Call. I'll now turn it over to Collin Jones, Executive Vice President of Strategy and Development. Sir, you may proceed.
Collin Jones : Thank you, operator. Welcome, everyone, to our fourth quarter and full year 2022 earnings conference call. I'm joined today by our President and CEO, Mary Berner; and our CFO, Frank Lopez-Balboa. Before we start, please note that certain statements in today's press release and discussed on this call may constitute forward-looking statements under federal securities laws. Actual results may differ materially from the results expressed or implied in forward-looking statements. These statements are based on management's current assessments and assumptions, and they are subject to a number of risks and uncertainties. In addition, we will also use certain non-GAAP financial measures. We believe the supplementary information is useful to investors, although it should not be considered superior to the measures presented in accordance with GAAP. A full description of these risks as well as financial reconciliations to non-GAAP terms are in our press release and SEC filings. The press release can be found in the Investor Relations portion of our website, and our Form 10-K was also filed with the SEC shortly before this call. We finally posted a 2022 Investor Update to our website, which we encourage you to download if you haven't already. A recording of today's call will be available for about a month via link on that website. With that, I'll now turn it over to our President and CEO, Mary Berner. Mary?
Mary Berner : Thanks, Collin, and good morning, everyone. During the fourth quarter, against an increasingly challenging economic backdrop, we delivered financial results, which were in the upper half of the guidance range that we provided during our last earnings call. This performance continued a multiyear period of significant accomplishments. First, we executed a multifaceted turnaround, which included fixing a broken corporate culture, recruiting an excellent management team, implementing a strategic plan for optimizing our radio portfolio and developing new digital businesses. These actions underpinned our ability to improve our operating leverage and free cash flow generation and set us up to deliver sustainable revenue growth, which, with the exception of the pandemic impacted 2020, we have achieved every year since 2018 on a same-station basis. This consistently positive revenue performance reflects strong execution within the core business, bolstered by organic and profitable growth of multiple digital businesses, which now generate revenue at an aggregate annual run rate of more than $150 million, representing more than 15% of total revenue. Throughout, we have relentlessly attacked cost to enhance our operating leverage. In fact, 2022 fixed costs despite inflationary impacts were approximately $90 million lower than what they were in 2019. And this reduction has meaningly contributed to our EBITDA recovery to $166 million for the year. In addition, we've also been unwavering in our focus on rightsizing the balance sheet by monetizing noncore assets at highly accretive multiples and through strong stewardship of our cash since June 2018, we reduced net debt by approximately $650 million, a value of more than $30 per share and reduced net leverage from 6x to 3.7x at year-end, achieving best among peers leverage and liquidity, while also returning over $31 million of capital to shareholders through stock repurchases, reducing our share count by 12% during 2022. As has been widely reported, we, like all ad-based businesses are continuing to face substantial headwinds. However, given our battle-tested experience and proven skill in performing during difficult times as well as our very strong financial position, we have confidence in our ability to not only weather this week at environment, but to take full advantage of opportunities that may arise over the coming quarters. Frank will provide more detail on the fourth quarter and full year results. So I'm going to focus on what we're seeing today and what we might expect for the rest of 2023 and beyond. Most notably, since the second half of 2022, we've seen a marked difference in national versus local advertising demand, and that divergence continues today. Since we have multiple businesses serving national advertisers, collectively representing approximately 45% of our revenue, which is greater exposure to national than some of our peers. National ad trends are a significant factor in our performance. Our exposure to national advertising is reflected in a number of lines of our P&L. Network revenue, which is its own line, national spot revenue, which is captured in the spot revenue line and the national podcasting streaming and website revenue, which are each included in the digital revenue line. Our Westwood One network is the largest audio network in America, distributing content to over 9,400 affiliate stations, which benefit from our leading positions in music, news talk and live sports, including the NFL and NCAA. Our marquee sports properties, in particular, have been largely unaffected by macroeconomic concerns and continue to attract strong demand from advertisers who want to align with captivating events like the Super Bowl, which generated year-over-year revenue gains for the network this year. As the rights holder for some of the most sought-after sports franchises, including the upcoming NCAA tournament in Final Four, we remain bullish that live sports will continue to be an area of relative strength for us. Pharma has proved to be another favorable category. As you may remember, a few years ago, a major advertising leader, P&G returned to the network radio market after more than a decade, citing radio's strong ROI. Leveraging this proof point, we attracted multiple new pharma clients in 2022, and the category is now significant for us. That said, we have seen and continue to see large network advertisers in financial and retail, among others, reduce or eliminate spending entirely, while others are trying to maintain optionality by shifting spending out of the upfront to the scatter market as they address the headwinds they face in their own businesses. National spot revenue from our radio station group is generated entirely from national advertisers who buy spots across our own station platform in an aggregated fashion. While we've been aggressive in working with national advertisers and agencies to generate demand, the same trends that we're seeing in network revenue also applied to the national revenue -- national spot revenue, with most categories experiencing weakness. It's also worth noting that uniquely, we have a different -- difficult year-over-year comp for national in the sports betting category. As you may remember, in the first quarter of 2022, we benefited from approximately [$10 million] in very high-margin non-returning revenue associated with the termination of our WynnBET relationship, a portion of which was booked to national spot. And finally, our national podcast business, which is ranked as a top 5 podcast network, has continued to drive strong audience growth. All in, our national podcast downloads grew to 1.5 billion from 1.2 billion in 2021, an increase of 26%. However, on the revenue side, this business, which particularly caters to national performance-based or direct response to advertisers has also been affected by the slowdown in national advertiser demand. While each of these national revenue streams has some unique characteristics and drivers, in aggregate, the revenue declines that we saw in Q4 remain unabated. That said, with the largest audio network, a 400-plus station owned and operated radio footprint and a top 5 national podcast network, we believe we have strong and well-positioned assets that when combined with our improved operating leverage, will capture the benefit of high-margin revenue cut recovery when these pressures ease. Local advertising, however, is performing materially better than national. Our exposure to local advertiser fee is also reflected in a number of lines of our P&L. Local spot, which is captured in the spot revenue line of our filings, and local digital marketing services, local podcasting, local streaming and website revenue, which are each included in the digital revenue line. Collectively, these local revenue streams represent nearly 50% of the 2022 revenue. Over the past several years, the work we've done to reshape our radio portfolio has shifted our mix towards smaller and midsized markets, which derive more spot revenue from local advertisers than new large markets. And importantly, local advertising demand has generally proven to be more resilient in this economic climate. In Q1, we continued this effort by selling WFAS-FM in New York City for $7.25 million in a transaction which will have an immaterial impact on EBITDA and will complete our exit of the New York City market. Additionally, prior to this deal, we completed a number of highly accretive transactions over the last several years, including hundreds of millions of dollars worth of noncore asset divestitures and multiple station swap deals, supporting our portfolio optimization strategy of exiting markets where we had a limited path to success and doubling down in areas where transactions could give us a market-leading position. And while we are experiencing a modest decrease in local advertising in Q1, there are some encouraging signs, including in the automotive category. After several years of considerable weakness, greater inventory levels are driving auto dealers to increase their advertising. While the automotive recovery is still somewhat inconsistent across the country, in aggregate, we're seeing the category pacing up in Q1. Additionally, the top-performing local category currently at Q1 is general services, which is pacing up double digits. Our local digital marketing services platform consists of a portfolio of products that we built profitably from inception. For the most part, we sell digital marketing services directly to local clients where we differentiate ourselves with a go-to-market strategy that focuses on feet on the street selling of a suite of integrated audio and digital marketing solutions. We leverage our fully distributed sales force, sales infrastructure and ability to seamlessly add new products and services in order to provide value to our clients while still being highly responsive to the ever-changing dynamics of digital marketing. For instance, in mid-2022, we launched Cumulus Boost, which is a full set of digital presence solutions to complement the range of more campaign-based products that we've historically called C-suite. Cumulus Boost adds a subscription-based recurring revenue stream at an accessible price point that allows us to upsell existing clients and bring new clients to the platform. Cumulus Boost is already contributing nicely to the growth of our digital marketing services business, which was up 16% in 2022 and is pacing to exceed that growth rate in Q1. We've inked new boost deals with hundreds of businesses, half of which are entirely new customers. Of these new customers, nearly half have already increased their initial investments to include spend on additional Cumulus digital or radio products. Reaping the benefits of adding digital products to our core radio basket has taken years to get right as it required an expansion of our sales force capabilities at scale from selling only radio broadcast to be able to bundle and sell both radio and an evolving digital marketing services portfolio. Importantly, not only does this change give us more products to monetize, it also greatly expands our ability to serve our clients and attract new ones. We remain bullish about the potential of this revenue stream, not only given the more favorable underlying local advertising climate, but also our strong capabilities and go-to-market positioning that should help us capture share in the digital marketing services area, which is still highly fragmented, but has a more than $15 billion and growing total addressable market. So as we operate in a highly uncertain environment, here's where we are. Currently, the national advertising market is our biggest challenge, particularly given our relative exposure to national revenue streams. But as I said, we have a very strong track record of executing well through challenging times, which is what we're doing now. As a reminder, even during the pandemic, when full year revenues declined 25%, we generated $33 million of cash from operations. And moreover, as this weakness abates, we have the assets needed to achieve outside benefits on the upswing. In the meantime, we are taking every advantage of a relatively better local climate through portfolio optimization, strong sales execution and leaning into our digital businesses, in particular, our local digital marketing services business, where we see significant growth opportunities in an underpenetrated but large total addressable market. On a parallel path, we are continuing to rigorously manage expenses, finding ways to reduce fixed cost beyond the approximately $90 million of reductions executed to date versus 2019 to mitigate the impact of the loss of the WynnBET revenue as well as off-cycle political and high-margin national revenue declines. The operating leverage that we've created will also benefit us when the market turns in our favor, as was demonstrated by 2022's financial performance of EBITDA growth of 23% on revenue growth of 4%. And finally, we are in an envious financial position, ending 2022 at 3.7x net leverage with more than $200 million of available liquidity. This strong position gives us considerable confidence in our ability to both optimally navigate the difficult advertising environment in 2023 and to act opportunistically to make investments that can accelerate growth in 2024 and beyond. With that, Frank, I'll turn it over to you.
Frank Lopez-Balboa : Thank you, Mary. I'll begin today with our fourth quarter financial results, followed by commentary on the full year. Fourth quarter total revenue was approximately flat year-over-year with digital revenue growth and political revenue, mostly offsetting continued weakness in national. Excluding political, fourth quarter revenue was down approximately 3%. As Mary mentioned earlier, we are experiencing a significant weakness in national advertising impacting most ad categories. Within spot revenue, general services, home products and automotive all grew in the quarter. Sports betting was our weakest category driven by the loss of WynnBET as well as some other large sports betting companies who have pulled back spending. Digital revenue grew by 8%, with streaming revenue up 21%, benefiting from the addition of the NFL streaming rights. We saw strong listenership growth as the season progressed during our first year of the rights package, which provides us a strong base for 2023. Digital Marketing Services revenue grew 3%, but the current run rate for the business is much higher than the fourth quarter growth rate. Podcasting revenue grew 2% in Q4. Total expenses in the fourth quarter were essentially flat, resulting in EBITDA for the quarter [of $42.7 million], which was down approximately 1% from last year. For the full year, revenue of $953.5 million was up 4% versus 2021. Similar to our Q4 results, local outperformed national for the year. Digital revenue growth was strong, up 12%, with digital marketing services up 16%, streaming up 12% and podcasting up 11% for the year. In aggregate, our digital businesses had an annual run rate of over $150 million based on Q4 performance and represented approximately 15% of our total revenue for the year. Total expenses increased $6 million driven by higher variable costs associated with higher revenue, mix shift towards digital revenue streams and inflationary pressures. These increased costs were largely offset by continued fixed cost reductions. EBITDA finished at $166 million, an increase of 23% compared to $135 million in 2021 and in the upper half of our guidance range of USD160 million to USD170 million. Turning next to cash flow and the balance sheet. During the quarter, we generated $24 million of operating cash flow, bringing full year operating cash flow to $78 million, which even after accounting for debt repayments and share repurchases led us to finish the year with $107 million of cash. For the full year, excluding M&A, free cash flow was approximately [$15 million] or more than $2.50 per share. Along with the availability under our ABL revolver, we ended the year with total liquidity in excess of $200 million. CapEx for the year was $31 million. And in 2023, we expect CapEx to be approximately $25 million. During the quarter, we retired $21.5 million of debt at a discount, bringing our total 2022 debt paydown to $86.5 million. This debt reduction will result in approximately $6 million of cash interest expense savings on a full year run rate basis, which mitigates some of the pressure we see from increasing interest rates. Since 2018, we have reduced net debt by approximately $650 million or 50%. And since the start of the pandemic, we decreased net debt by approximately $400 million or 40%. We ended the year with net leverage of 3.7x, down from 4.7x at year-end 2021 and from 6x in June 2018. In addition to reducing leverage, we also repurchased $2.9 million worth of shares in the quarter, bringing share repurchases in 2022 to $31.8 million. Total share repurchases represented approximately 12% of shares outstanding at the beginning of the year. Looking ahead to the first quarter and the year, more generally, in addition to the weak advertising environment, we faced 2 items that create typical comps. First, as Mary mentioned, in Q1 of 2022, we benefited from approximately $10 million of revenue related to the termination and wind down of our relationship with WynnBET. Most of that revenue was booked as other revenue with a smaller portion booked to spot revenue. Additionally, with 2023 being an off-cycle year, political will be another comparison headwind. As we look at our current pacing, we are pacing down in the low double digits. Normalizing for WynnBET and political, this pace would have us ending the quarter down mid-single digits. As Mary said, the current operating environment is difficult, but we have executed in more challenging environments before and have risen to the occasion each time. We expect this time will be no different as we focus intently on investing in growth areas, reducing costs and continue to be strong stewards of the company's capital. With that, we can now open the line for questions. Operator?
Operator: Absolutely. [Operator Instructions] The first question comes from the line of Avi Steiner with JPMorgan.
Avi Steiner : I'd like to start maybe on the ad environment. Mary, you spent a fair bit of time talking about [this press] that environment, economic headwinds, et cetera, and we now have your pacing. And I guess, first off, what does it look like? If you can tell us beyond Q1? I know it's early, and you talked about green shoots and auto, but anything else once we get past the start of the year that we should be thinking about?
Mary Berner : Yes. Avi, yes. I mean I think you say it rightly. It's a little bit too early to tell. But as you've read, as everyone has read, this is an across the board weakness in ad-based businesses in national. I think that we're -- for us, we're better positioned in this downturn than we have been in any others, given the fact that we've built our digital business to 15% of our business, and that is growing, albeit at a slower pace, but it is growing. So that said, as I said in the prepared remarks, we are disproportionately impacted by the national advertisers, in particular, because of how much national ad business we have. I mean, anecdotally, we're seeing certain large advertisers go dark for a period and they're not saying they're out forever. They're just going dark for now. So these are categories like insurance and retail or what we're hearing is that they're pushing out their spending to later in the year to maintain optionalities. And all of that and what we're hearing pretty consistently indicates that what we're experiencing is a temporary phenomenon. But as I said, I don't have a crystal ball, not of us do. And all of us are paying attention to the same headlines as everyone else around interest rates and inflation and otherwise. So as those factors get better, we think the national business will as well.
Avi Steiner : Okay. Great. Two more here. Just following up on that, given the challenging ad climate, I'm wondering if you can talk about the expense side. You've had some pretty good success historically, but maybe some levers you can pull if you can dig there. And I believe historically, the company had given an EBITDA range. And I'm wondering if that's something you want to offer today full year first quarter, otherwise? I have one more after that.
Frank Lopez-Balboa : I'll take that. Well, as you know, we continue and always will focus on fixed costs. And the $90 million of fixed cost we've taken out versus 2019 is actually higher than the $75 million range that we provided last year. Last year alone, including the impact of inflation, which does impact our business, we did reduce cost another $7 million versus the year before. And this year, we'll continue to focus on areas of productivity and contracts, et cetera, to reduce cost. But we don't have the same amount of cost to take out as we have in the past given the magnitude. That's the first question. In terms of guidance, as a reminder, back in August 2021, we provided guidance for 2022 at a point in time because we were receiving questions as to how we're going to recover from COVID. And we took that unusual step. It wasn't common an unusual step to give guidance based on the visibility that we saw then. And boy, 18 months later, the world has changed. We lost the WynnBET relationship. We didn't foresee the recession. And we ended up $166 million of EBITDA, which was pretty close to the low end of the range we provided a 1.5 years ago. Going forward, we're going to return to our historical pattern, which is not to provide guidance for the year or the quarter, rely on pacing and give any additional color commentary within the quarter, which I'll do now, and Mary talked about. Last year, our first quarter EBITDA was $31.5 million. The 2 onetime events of WynnBET and political represented approximately $11 million of EBITDA contribution last year. So if you subtract that out of the $31.5 million, that would be an apples-to-apples comparison. And then on top of that, you're going to have to factor in the fact that normalize those one events we're pacing down in the mid-single digits, so you can work through the math and the contribution margin and what that could imply for EBITDA in the first quarter.
Avi Steiner : That was actually very helpful. I appreciate that. Very last question for me. So one of your peers is seemingly in asset monetization mode in part. And I'm just curious how we should be thinking about potential opportunities there. For Cumulus, if any, and maybe M&A cumulus overall, I think you sold something in the early part of this quarter, which I assume goes to debt repayment.
Mary Berner : Yes. To start, I want to reiterate, which I don't think can be reiterated enough that we have a very strong balance sheet position and liquidity. So that does put us in the enviable position of not having to worry about refinancing in the near term or any cash constraints. And as you point out, it gives us optionality to do a lot. We have -- many of our competitors are great partners of ours commercially. And there are a number of assets in terms of markets, digital and otherwise, that are fairly complementary between our platforms, both us, Audacy and iHeart. It doesn't make sense for us to comment on any situation specifically. But I do want to say that there are any opportunities out there that makes sense for us, you should assume that we are focused on running those to the ground. Of course, all of this is in the context of what we mentioned in the prepared remarks about how we will intend to continue to be strong stewards of the company's capital.
Operator: The next question comes from the line of Michael Kupinski with Noble Capital Markets.
Michael Kupinski : Historically, national weakness tended to portend to trend to weakness in local. And I was wondering if you can talk specifically about what you're hearing from your local advertisers and pacings for Q2 on the local level versus that what you've seen in Q1?
Frank Lopez-Balboa : Michael, it's Frank. I'll take that. It's too early to -- for us to really talk about second quarter pacing. And I'll just leave it at that. I would say what we're generally seeing in the local markets is what we generally read about or see in terms of commentary on the economy, which is with the lower unemployment rates. There parts of the economy which are doing okay, and we're seeing that in the local markets. And from a pacing perspective, when we think about casing down, okay, on the low double digits, the local markets are slightly negative and holding up pretty well. And part of the local markets, and as Mary talked about, is not only what you'll see in spot revenue, but the exposure we have to local in our digital businesses, which is actually healthy and growing. And so, look, at this point, the first quarter is slightly weaker than the fourth quarter in local, but on a relative basis, it's dramatically different than national. And another phenomenon we're actually really seeing this quarter is that local orders are firming up much, much later each month than historically has been as investors -- I'm sorry, as businesses are looking at their underlying business. But the pace on automotive, as an example, has accelerated throughout the quarter. In the fourth quarter, as an example, automotive was up the low single digits. And in the first quarter, pacing up mid- to high single digits, still well off of 2019. But as a big category, that's an encouraging sign, particularly driven by auto dealers who are getting inventory and want to move that inventory. So it's too early to say how the second quarter is going to look like, but we're glad with the balance that we have in the first quarter in local versus what we're seeing in national.
Michael Kupinski : And the company has done an amazing job at reducing fixed costs, and you indicated plans to further reduce cost. And can you give us some sense of the ability to reduce cost at this point? What areas are possible, if you can just add the magnitude of the cost -- potential cost reduction. Any color there that you can add?
Frank Lopez-Balboa : We're not going to give guidance on our cost reduction for this year, but I will say through our budgeting process, we reduced costs in contracts in people costs and business process improvements and a lot of those cost reductions will be offsetting natural exposure that we have to inflation, which we're not immune from. It just happened in the previous year as the magnitude of cost cuts were so great. That net number against inflation was a big number. So the half cuts we have in our plan, we expect to offset a lot of inflationary pressures. It may not be all. But you can have confidence that this is something that Mary and I and the rest of the management team focus on closely, and it's something that we'll continue to look at throughout the rest of the year to get additional savings.
Michael Kupinski : And then you mentioned pharma and that it accounts for a larger percentage of the national advertising category. I was wondering if you can give us the percent of the pharma business and what it accounts for?
Frank Lopez-Balboa : So Mary's got comments on pharma was really related to where we are in the network, right, because most of the pharma is national advertising in the network. It's a growing category, and we're happy with that growth. But at this point, it's not -- he had a top 5 category in the network.
Operator: The next question comes from the line of Jim Goss with Barrington Research.
James Goss : Okay. Radio Inc. had an article this morning about WTOP, cutting spot loads. And I think I've heard some other noise along those lines recently. And I think it's been a long time since such mundane factors have been talked about. And I'm just wondering about your thoughts if that's a consideration and what the implication is for either the demand or rates and whether it's varying a lot by category.
Mary Berner : Yes, that's -- it's not mundane to us and our business because optimizing the inventory and the spot load is obviously one of the levers that we always think about. It's something that we focus on certainly by channel and by station and by market. I would tell you that given the fact that we've built a robust -- one of the things we did, which I talked about in the beginning remarks is that we built a robust inventory management system. And as such, the focus is really on optimizing what's best for the listeners, optimizing price yields, optimizing the product that we have. Frank, do you have anything else to add to that or...
Frank Lopez-Balboa : Yes. The only thing I would add to it is, as Jim, as you can imagine, with over 400 stations in over 80 markets, each station and each cluster really run as a business unit to optimize price yield demand. And so in the markets where we have higher sellout, we take advantage of pricing. On the spot load, that's something that's dynamic, I would say, hasn't really changed dramatically. Our focus is to get the price yield and supply/demand right to maximize the revenue on one hand and to maximize the listener experience.
James Goss : Okay. And you also made some pretty good arguments in favor of large markets and then in favor of small and mid-cap markets and midsized markets. And I'm wondering, as you look at the options since you serve a number in both categories, how you're seeing the benefits and challenges of each? And it sounds like you're tending to look at smaller markets as the area where you might want to take advantage of your solid leverage to make some opportunistic purchases.
Frank Lopez-Balboa : So on the mix between the large and small markets, we like our mix where we are now because we don't know 100% where the dollars are going to flow. But let me give you a little bit more color between the larger and the smaller markets. National has been weak across the board, and it does impact our local markets, but it's impacted our smaller markets more than our larger markets. But on the -- but on the contrary, though, is our local business in the smaller markets are holding up a little bit better than in the bigger markets. And so when you look at that balance, it comes out to a pretty decent local performance when you look at the national mix between smaller and bigger markets and then the local performance between the big and smaller markets. And look, we've gone through a portfolio optimization of getting rid of the large city exposures. The larger DMAs were still in many large DMAs. And we think that's, for us, a better position to be and actually have strong clusters and take advantage of the opportunities that are in front of us, frankly.
James Goss : Okay. And maybe one last one. The -- some of the [RSM] challenges, is this creating some opportunity for either your station group or Westwood One, are you looking to pick up any additional sports rights? And is there a way to serve them with the vehicles you have?
Frank Lopez-Balboa : No. As you know, our largest sports exposures are really national with the NFL and CAA. We do have some exposure to some local teams, but making the wholesale move into local sports is not something that we're actively looking at.
Operator: The next question comes from the line of Dan Day with B. Riley Securities.
Daniel Day : And I understand you're facing a challenging backdrop here, but you still got over $100 million of cash on the balance sheet. You're still generating some pretty healthy free cash flow. It seems like a huge amount of cash for a company of your size. The stock is trading at a really attractive free cash flow yield. The bonds are trading at a discount. Maybe just talk about the capital allocation levers as you see them right now, whether the macro concerns make you hesitant to maybe aggressively use that cash or if you plan on ramping up the cadence for the buyback or the bond repurchases and how you think about the balance between those options?
Frank Lopez-Balboa : Thanks, Dan. You're correct. We do have a lot of liquidity, and that's actually a strategic strength, and also financial strength. And we've taken advantage of that over the past several years, as I mentioned, reducing our debt by $400 million net debt by $400 million since the pandemic. As we sit here now, we'll continue to be optimistic and looking at the market opportunities while also assessing the operating environment that we're in. And so that's something we'll take a look at closely and always look at ways to enhance shareholder value either through debt pay down or stock repurchases. But at this point, I really can't add more until we speak again at our first quarter earnings call, which will be at the end of April or beginning of May.
Daniel Day : Okay. Great. Another question. So sort of like the ad tech and programmatic space, digital audio, increasingly a hot topic. Maybe talk about what you guys are doing to sell more of your digital inventory, whether it's the AM/FM radio spot versus AM/FM simulcast on digital, the podcast ads to sell that inventory programmatically rather than the kind of old manual insertion order process?
Mary Berner : Yes. Well, we are focusing on selling that inventory in any way that we can, and that includes programmatic marketplaces. For example, you saw we had a lot of streaming growth and two areas of focus there are to increase listenership of existing and then extending the platform [indiscernible] that people can find our programming. And with -- in terms of the inventory cost, local, national, network and advertising, we put all of the inventory into programmatic channels as needed. And -- but a big part of our growth right now is coming from monetizing our NFL streaming rights in the network market. And then also, we're working very hard and have had some success in increasing our CPMs against all sales channels. So that is one of our strategies is pricing.
Daniel Day : Great. And one more, if I could. It's a question I get a lot of times from investors, just about whether or not there's a CPM difference between sponsors selling on the AM/FM broadcast versus the digital simulcast. Just wondering if there's a premium on the digital because they perceive younger audience, better targeting measurement, all those things that digital brings or whether it's roughly the same.
Frank Lopez-Balboa : I would say, look, it varies by market. We do take advantage through total line reporting, which is a measurement that Nielsen came out with a while ago to boost our audience share, which allows us to go to market and actually get a better rate for the entire market where we can improve. We have both digital as well as the over-the-air ads. But it does vary. I mean our programmatic dollars does vary from what we have in the local. The key thing, though, is as we get more listeners listening to our product wherever, that gives us really the pricing leverage that we need and it also attracts from time to time a different type of advertisers who are looking for different demos or different solutions depending on your needs.
Operator: The next question comes from the line of Kevin Wivell with Octagon.
Kevin Wivell: Most of my questions were answered, but I was just wondering if you could disclose it all. Anything around WFAS transaction in terms of maybe what kind of revenue or EBITDA contribution was coming from that station. I get that it's immaterial, but just from a multiple standpoint, any color there would be helpful.
Frank Lopez-Balboa : I guess the way I should answer that is a $7.5 million -- $7.25 million proceeds or sale price against immaterial EBITDA is extremely high multiple. It's not going to have any material impact on our revenue. And it was a station that was there and not meaningful in terms of the financial results. So this is highly accretive for us. And we've done these type of transactions in the past. Clearly, as we've looked to optimize the portfolio.
Operator: Thank you. I will now turn the call back over to the company for any closing remarks.
Mary Berner : Thanks, everyone, for joining, and we look forward to talking to you again at the next quarter. Have a nice day.
Operator: That concludes the Cumulus Media Quarterly Earnings Conference Call. Thank you for your participation. You may now disconnect your lines.